Operator: Welcome to the Expedia Group Inc. Q3 2019 Earnings Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Michael Senno, Vice President of Investor Relations. Please go ahead.
Michael Senno: Good afternoon, and welcome to Expedia Group's Financial Results Conference Call for the Third Quarter Ended September 30, 2019. I'm pleased to be joined on the call today by Mark Okerstrom, Expedia Group's CEO and President; and Alan Pickerill, our CFO. The following discussion, including responses to your questions, reflects management's views as of today, November 6, 2019 only. We do not undertake any obligation to update or revise this information. As always, some of the statements made on today's call are forward-looking, typically preceded by words such as we expect, we believe, we anticipate, we are optimistic or confident that or similar statements. Please refer to today's earnings release and the company's filings with the SEC for information about factors which could cause our actual results to differ materially from these forward-looking statements. You will find reconciliations of non-GAAP measures to the most comparable GAAP measures discussed today in our earnings release, which is posted on the company's Investor Relations website at ir.expediagroup.com. And I encourage you to periodically visit our IR website for other important content, including today's earnings release.. Unless otherwise stated, all references to cost of revenue, selling and marketing expense, general and administrative expense and technology and content expense excludes stock-based compensation and depreciation expense. And all comparisons on this call will be against our results for the comparable period of 2018. A reconciliation of adjusted EBITDA guidance to the closest corresponding GAAP measure is not provided because we are unable to predict the ultimate outcome of certain significant items without unreasonable efforts. These items include, but are not limited to, foreign exchange, returns on investment spending and acquisition-related or restructuring expenses. As such, the items that are excluded from our non-GAAP guidance are uncertain, depend on various factors and could have a material impact on GAAP results for the guidance period. And with that, let me turn the call over to Mark.
Mark Okerstrom: Thanks, Michael. Although our room night growth wasn't a healthy range in Q3, adjusted EBITDA was lower than we expected, primarily due to a few key factors. We saw incremental weakness in SEO volumes, and a related shift to high-cost marketing channels. We saw lower average daily rates than we expected, which weighed on our lodging results and profit was softer than expected at Trivago and Vrbo. The majority of the ADR impact was in North America, which slowed more than we anticipated, while ADRs also came in light in Asia due to negative macro and geopolitical events. We expect the softer local currency ADR environment and makeshift to high cost marketing channels to continue to have an impact over at least the next few quarters. As discussed on their call yesterday, Trivago saw volatility in their market place related to new advertiser features they introduced, that contributed to lower than expected revenue and a significant year-over-year decline in Q3 adjusted EBITDA. Gross booking and room night trends at Vrbo also remain muted, and we incurred additional costs related to our payment processing migration. As a result, we have reduced our 2019 profit expectations for both Trivago and Vrbo. Given our third quarter results, and the expectation for continued impact from the factors we experienced in Q3, we are lowering our full year 2019 guidance for adjusted EBITDA growth to 5% to 8%. Over the past several months, we've been in the process of realigning teams across the organization, and overtime we expect these changes to improve our operational efficiency and effectiveness. That said, with many people focused on that effort, it did likely impact our ability to anticipate, and react to the dynamics we saw during the quarter. In terms of the changes we've made, we've brought several customer facing functions closer together to help us collaborate more effectively and scale our international expansion efforts. We brought supplier facing teams closer together to better serve our travel partners and realigned many of our tech and product teams to drive increased collaboration, innovation and scale. These changes position us to draw better top and bottom line growth over the long term, and they will take time to realize the full benefits of this effort, the teams are eager to begin driving improvements. In spite of the disappointing results, we saw several positives in the quarter. Volume trends in Q3 were solved as we delivered an 11% increase in total stayed room nights, led by healthy 12% room night growth in our Core OTA segments. Domestic room night growth accelerated in Core OTA, and we continue to gain share in the U.S. Our execution on supply acquisition remained solid as we added again over 40,000 properties to our core lodging platform in Q3. We also increased the number of integrated Vrbo listings to over 650,000 and in total, we ended the quarter with more than 1.4 million listings on our core lodging platform. We are seeing progress on our initiatives to increase customer centricity and local relevancy, which are aimed at building customer loyalty and increasing our direct business. In total, the direct channels at our OTA brands are growing faster than the overall business, but by strong growth and mobile app. Expedia Partner Solutions continues to deliver solid results, and is also growing room nights ahead of the overall business. A recent agreement to become Marriott's exclusive optimized wholesale distributor is a great example of the power of our platform and technological capabilities, and we are seeing a long run way of opportunity at our partners solution business going forward. And Egencia had healthy quarter of new client signings, and delivered double-digit room night growth as benefits from increasing hotel attach rates. Although we were disappointed with our results in the third quarter, we understand the near term challenges and are actively working to navigate them. At the same time we are encouraged with our progress in many areas and are optimistic that we can further build on those trends as we execute on our key strategic themes, being customer centric, being locally relevant on a global basis and unlocking the full power of our global platform. Despite near term pressures, we remain confident that this strategy will position Expedia Group to capitalize on the significant opportunity ahead of us, leading to healthy growth and attractive returns over the long term. With that, I’ll turn it over to Alan.
Alan Pickerill: Thanks, Mark. In Q3, we increased both gross bookings and revenue 9%. Total lodging revenue growth was 11% in line with state room night growth, but given the factors Mark discussed, in addition to the headwinds we previously mentioned for the quarter, our adjusted EBITDA was flat in Q3. At Vrbo, gross bookings increased 5% in the quarter, revenue was up a solid 14% driven by approximately 20% growth in transactional revenue, which represented more than 90% of Vrbo's revenue for the first time. Revenue growth was partly offset by continued investments in both performance and brand marketing to support the Vrbo brand and higher payment processing cost as Vrbo accelerated the shift to Expedia's Group payment platform.  As a result, adjusted EBITDA for Vrbo increased just 3% in the quarter. We expect the similar dynamic in Q4 with higher marketing investments as we head into the peak booking season. And additional cost related to payment processing, putting pressure on adjusted EBITDA. Total advertising and media revenue grew 3% year-over-year and was up 6% excluding the impact of foreign currency. Similar to the past few quarters, revenue declines at Trivago were more than offset by strong 18% growth at our media solutions business. Looking ahead, we see a nice runway of growth for media solutions as we increasingly leverage the reach of our global platform. Air revenue declined 3% in Q3 with lower revenue per ticket partly offset by solid growth in ticket sold. Revenue per ticket was down 10% largely reflecting a reclassification of certain fees to other revenue, in addition to shift in product mix and FX headwinds. That was partly offset by 8% ticket volume growth as we continued to benefit from new enterprise partnerships at Expedia Partner Solutions. Turning to expenses, cost of revenue grew 14%. Cloud expenses contributed 500 basis points to growth as we migrate more compute to the cloud. The inorganic addition of bodybuilding.com, which we acquired in the Liberty transaction added over 400 basis points to growth, although it did not have a meaningful impact on adjusted EBITDA in Q3. In addition, the French digital services tax contributed nearly 300 basis points to cost of revenue growth as we recognize the full year-to-date amount since the tax was retroactive to the beginning of the year. Because of the addition of bodybuilding.com and the digital services tax, we now expect cost of revenue to grow faster than revenue for the full year. It's worth noting that the global tax environment is rapidly evolving, and several other countries are currently considering adding transaction level taxes. It's still too early to know the specific implications, but we are continuing to closely monitor these developments.  Total selling and marketing expense grew 11% with direct selling and marketing up 14%. The increase in direct selling and marketing was due to partner commissions at Expedia Partner Solutions related to growth in that business, and higher investments in both brand and performance marketing in part, because of the shift in the high cost marketing channels we mentioned earlier. Indirect selling in marketing declined 5%, reflecting a reclassification of certain expenses to technology and content, and lower people related cost along with declines at Trivago. Technology and content cost growth was essentially in line with revenue for the quarter. Cloud expenses contributed approximately 250 basis points to growth. We continue to expect technology and content expenses to deleverage for the full year. In terms of our cloud migration, we continue to progress as planned. We are on track to largely complete the lodging stack by the end of this year, and expect to be positioned to complete the air migration next year as well as push further on our other products and back-end systems. We expect 2019 cloud costs to come in slightly lower than $250 million. We are still completing the planning for 2020, but based on what we know at this point we anticipate cloud expenses to be in the neighborhood of $350 million next year. General and administrative expenses increased 8% year-over-year largely due to higher professional fees and approximately 150 basis points of inorganic impact from bodybuilding.com.  Looking below the line, depreciation expense growth remains muted, increasing just 3% as we continue to benefit from the lower data center CapEx over the past few years. Adjusted net interest expense decreased year-over-year or adjusted tax rate increased to 25% in Q3, which resulted in adjusted EPS declining 7% year-over-year. Year-to-date through Q3, excluding CapEx investments for our new headquarters, free cash flow increase a solid 15%. In the third quarter, free cash flow decreased more than usual due to a shift in the timing of certain payables and the comparison to settlement payments received last year. The balance of the change in Q3 related to supplier payments for merchant bookings from the first half of the year given the normal seasonality of our business. Looking ahead, we see an opportunity to drive further improvement in cashflow conversion over time. Turning to the balance sheet, we took advantage of favorable market conditions to issue a $1.25 billion 10-year note with a 3.25% coupon. Our approach to managing the balance sheet is unchanged, and we continue to operate within an investment grade credit rating. In addition, during the quarter, we redeemed $400 million convertible notes that we held following the Liberty Expedia deal. On the capital allocation front, we resumed share repurchases following the completion Liberty Expedia deal, repurchasing $418 million in stocks since Q2 earnings. Together with the Liberty Expedia transaction we were pleased to have brought in a total of 6.3 million shares so far this year. Moving to our financial expectations for 2019. As Mark noted earlier, our updated guidance of 5% to 8% adjusted EBITDA growth reflects the mix shift into high cost channels and the lower than expected ADRs, both of which we expect to continue to play a role over the next few quarters. In addition, we now expect lower full year 2019 contributions from Vrbo and Trivago. Overall, we are not satisfied with our results and will continue to navigate these changes over the coming quarters. We do however remain confident that executing our strategy will strengthen Expedia Group's position in the market and lead to share gains and healthy growth over the long term. Operator, we are ready to take our first question.
Operator: Thank you. [Operator Instructions] And we'll take our first question from Lloyd Walmsley with Deutsche Bank. Please go ahead.
Lloyd Walmsley: Thanks. Couple if I can. First, just on the SEO challenges, can you maybe give us a sense of which brands or which goes or maybe what Google products are causing the most disruption? Any color you can give us there would be helpful? And I guess as a follow-up, specifically looking at the vacation rental category and Google moving to kind of mimic what they did in hotel with vacation rental, wondering does your strong presence in their new unit, their metasearch unit offset some of the SEO challenges removing kind of organic links further down the page? And when Google -- what do you expect in terms of the timeline for Google starting to charge for that product and kind of what kind of impact could we expect from that? Thanks.
Mark Okerstrom: Thanks, Lloyd. So the SEO challenges were I would say, things that we saw across multiple product categories. They were things that in some cases, we saw across multiple regions. So the impact was it was really something we felt a little bit more broadly across our multi line of business brands than we did the lodging specific brands. And generally, what we saw was a continued shift of essentially the freed links further down the page, by other modules that were inserted and ultimately a shift of traffic from the SEO channel over to some of the other products whether it's flight metasearch or hotel metasearch overtime. Now of course as related to the hotel product, the lodging product we are able to pick up some of that volume and that ultimately resulted in spending more on sales and marketing than we had otherwise would have. We are happy with the returns that we saw on it, but ultimately, not as good returns as we would see from the SEO channel  With respect to the VR category, right now it's pretty small, and it's something that we are actively looking at in terms of evaluating that product and looking at whether something that we think is going to be a good thing for us over the long term and not. But right now, it's still pretty small.
Lloyd Walmsley: Okay. Thanks guys.
Mark Okerstrom: You are welcome. Next question please.
Operator: Our next question comes from Mark Mahaney, RBC Capital Markets. Please go ahead.
Mark Mahaney: A little more color, please, behind the lower ADR trends in Asia. Is that just -- a lot of that is just political turbulence around Hong Kong, but any other color there? And then any update on the ability to diversify more into social marketing channels, Facebook and the like, and whether there's possible -- there are any improvements there? Are you seeing the ability to tap into commercial intent? Or is that still far away? Thanks a lot.
Alan Pickerill: Yes. Mark, this is Alan. So on your first question on the ADRs. I would just say a few things as you dissect those numbers. First is on a reported basis, the ADRs we're reporting are pretty consistent through the year. The key there is that the foreign currency impact was much more of a negative in the first half and much less of a negative in the back half year. And so that kind of masks the actual kind of decline we're seeing in terms of local currency. Relative to our expectations, we did not forecast the degree of slowdown in ADRs in North America that we ultimately ended up seeing. And in the industry, you can see that industry analysts and hotel companies also are just kind of systematically reducing their expectations on room night economics as we move through this period. So that's the largest area. In APAC, I think you're exactly right to point out the protest in Hong Kong. Some tensions between other countries is having some impact on travel and on ADRs, and we're certainly seeing that in our business, as well.
Mark Okerstrom: And then, Mark in terms of social media marketing channels, we have seen some interesting progress in some of the social media channels, Instagram, for example to some extent, Facebook, largely around influencer-type campaigns. It's much harder to measure than traditional performance marketing channels. So it's tough to get a real read on the ROI. But in terms of just some of the softer metrics we're seeing around awareness and some of the other social metrics that you can take a look at, they are interesting but still in the grand scheme of things relative to other performance channels pretty small. We continue to see good progress around digital video. We see good progress and we continue to like brand marketing which has been something that's been part of our overall toolkit for a very long period of time, but again on social nothing that's significantly sort of needle moving at this point.
Mark Mahaney: Thank you. 
Mark Okerstrom: Next question please.
Operator: Our next question comes from Justin Post with Bank of America, Merrill Lynch. Please go ahead.
Justin Post: Thank you. Could you give us an update on the Vrbo rebranding and do you think you can start seeing better results next year? Are we near a bottom? And then secondly, you mentioned the cloud expenses up a 100 million next year. Anything else we should be thinking about when we do our 2020 models on a big-picture basis? Thank you.
Mark Okerstrom: Justin, on Vrbo listen we continue to be happy with the trends we're seeing at Vrbo. They continue to see growth rates in the double digits, continues to be healthy. Unfortunately if that is swamped by some of the SEO impacts and some of the re-platforming work and sort of pulling spend away from some of the regional brands. The plan is to rollout the Vrbo brand in more markets over the course of the next couple of quarters and Vrbo does plan to put some marketing spend against those rollouts and then there will be further rollouts across 2020. In terms of better results I think we're going to see the next several quarters. We expect there to be continued muted growth rates and then we're optimistic that once we get past the lapping over some of these changes that became more acute in the first half of this year that we should be in a spot where we're able to return to growth rates that were more satisfied with.
Alan Pickerill: Yes. And then Justin on your question about things to think about as we head into 2020, I would just say to be clear and as usual for us at this time we are right in the middle of planning for 2020, so nothing specific to share. You mentioned the cloud impact that is one factor. These factors that we laid out in our prepared remarks on SEO headwinds, mixed into higher cost channels and the lower ADRs are things that we think will continue to impact us for the next few quarters. As Mark mentioned, it will take a little while we think for Vrbo to get back going the way we want it to be going and certainly contributing from a profit perspective. So those are some of the things that would be I guess in the category of headwinds. On the other hand we are pushing forward on international expansion efforts. We're seeing good results from our supply acquisition efforts as you can see from our sustained room night growth. We continue to focus on driving direct business and seeing good results there and as we've mentioned, the Expedia Partner Solutions is doing well. We also will obviously work to manage our overhead costs very tightly as we have this year and we'll continue to do that as we move through 2020. So I think those are some of the factors that I would consider.
Mark Okerstrom: Yes. I would just add to that was in the long term opportunity here the playbook we're executing skill very much does remain intact. I mean the focus areas we have around customer centricity for example are really focused on helping us deliver much better loyal customer relationships seem to squarely aimed at actually decreasing our reliance on a lot of these performance marketing channels that are causing us some angst I think are locally relevant globally effort. I think as Alan mentioned, we're going to continue to move out into international markets and we continue to be happy with the progress we're making on the supply efforts. And listen the recent organizational changes that I spoke about in my prepared remarks are going to set us up well to much more effectively leverage a lot of the technical assets we've got across the organization, the data assets we've got at the same time align our customer facing and partner facing teams just to better execute on the full strategy we've got in place. So long term opportunity remains very much intact and we've got some near-term headwinds that we're certainly navigating right now but we're confident we'll be able to get through this.
Justin Post: Thank you. 
Operator: Thank you. Our next question comes from Eric Sheridan with UBS. Please go ahead.
Eric Sheridan: Maybe two if I can. One just following up on Vrbo, I guess just trying to discern out how much of this really is about the rebranding versus is there a change competitive landscape and shared accommodations? Obviously some of your competitors are trying to go after growth, some trying to highlight that growth and some of their own comments. Just trying to understand how much of this is within your control on the inventory level, on the execution level branding versus what you might be seeing for the broader competitive landscape for those that are likely to book shared accommodations? That's number one. And then number two, I would love to get a little bit the color on the Marriott agreement. I thought that was sort of an interesting nuance and highlighted by the company at your quarter. Maybe give us a little bit of color on the underlying premise behind the agreement and how you think it plays out in what you're able to bring the market via your partnership with Marriott? Thanks so much. 
Mark Okerstrom: Sure. So listen with respect to Vrbo, we can certainly point to things that we have done in terms of platform consolidation, reducing spend on certain flanker brands and point to direct impact on our topline trends. That's that I think it's hard to ignore the fact that the overall competitive environment continues to be well competitive. But that said, Vrbo has got, it's got an excellent brand particularly here in the U.S. We're pleased with the growth rates we're seeing against that brand. They have got a great value proposition in terms of a lot of these large whole homes that exist that are great for groups and family and certainly they're working on continued customer facing and partner facing innovation to really press on that advantage. So again, I think to the core question is a competitive or is an internal I think it's a combination of both, but we remain optimistic that through great execution on product development, continued international rollout of the Vrbo brand, getting the inventory from Vrbo on to the core OTA business to help bolster that international expansion with ultimately more demand. All these things are things that point to a brighter future than Vrbo then certainly we've seen over the course of the last couple of quarters. With respect to Marriott, listen we're very pleased with that relationship and that deal, I think it's a unique first of its kind type arrangement and I think it's just an example of how we can bring the power of our platform to bear for our partners. We've really established an incredible network of connectivity and distribution reach across Expedia Group and what we're able to do is help Marriott basically make sure that they are having their rates in inventory displayed in a way that they intend them to be displayed for their customers and we think it's a great leverage of what we've got and I think it helps them achieve what they want to and we're optimistic that ultimately this will be the first of many because we think it's a great relationship. 
Eric Sheridan: Thanks so much.
Mark Okerstrom: You're welcome. Next question please.
Operator: Our next question comes from Kevin Kopelman, Cowen and Company. Please go ahead. 
Kevin Kopelman: Hi, thanks a lot. I just had a couple of follow-up questions on the change in the EBITDA trajectory. First could you talk about the increased payment processing cost and what were those and are those ongoing or more one-time in nature? Thanks.
Alan Pickerill: Yes. Thanks. Yes, so Vrbo has been using a third-party for payment processing and we made the decision to move the payments on to the Expedia Group stack so that will become the merchant of record for those. In order to make sure that we had a seamless transition there and that it went well, we put in place some incentive payments if you will for the third party processor and that's what we're referring to. Those were accelerated based on this, the pace at which we were moving the volumes over. So not only were there expenses, but we pulled some of them forward from what maybe would have been in 2020. So that's the nature of what we're seeing. There will be an impact of those in Q4 as well.
Mark Okerstrom: And again, I think that the rationale for getting onto the Expedia payment stack, we've got an excellent payments platform that has a broad array of payments methods, international exposure, world-class fraud detection, very good merchant arrangements with all of our providers. So we're confident this will unlock more growth for Vrbo going forward and we just need to get through this transition period.
Kevin Kopelman: Great and then just a follow-up on Naved’s question earlier about SEO, can you give us just more details on kind of specific changes that you saw in the search chain all that led to some of that SEO traffic ending up more on a pay traffic? Thanks.
Mark Okerstrom: Sure. Again a lot of it was around either different modules that they were introducing into search results that were putting traditional SEO links down the page and then in some cases just steering more queries over to the hotel ads module or to the Google flights module than they had been doing historically which ultimately just resulted in a traffic shift and as we were prominently featured in the Google hotel ads product of course we were the recipient of that traffic. Again pretty pleased with the returns that we see in that channel but not as good as they were in the place the traffic was coming from.
Kevin Kopelman: Thanks, very helpful.
Mark Okerstrom: Yes, you are welcome. Next question please.
Operator: Our next question comes from Deepak Mathivanan with Barclays. Please go ahead. 
Deepak Mathivanan: Great, thanks for taking the questions guys. Mark, sorry to be the dead horse on the SEO issue, this has been an obviously recurring and kind of highly volatile theme for several years now. Can you help quantify the exposure right now I mean you have for SEO traffic at this time and then you noted that you expect the issue to sustain for a few quarters? But what is the broader long-term strategy to steadily mitigate the exposure from traffic standpoint? Do you think is it more branding or are there any other kind of marketing programs that you can scare to offset some of the impacts from this? Thank you very much.
Mark Okerstrom: Yes. Thanks Deepak. Well, I will tell you the SEO exposure is shrinking all the time. It is one of many sources for us and we haven't gotten into the specifics of how big it is, but it is becoming less important to us over time for better or for worse. Listen, the strategy to mitigate is really what we've been talking about is being much more customer centric and for us that means ultimately developing better loyal customer relationships so that we have customers come back to us directly. We've been very focused on for example, building out great feature functionality in our apps and across many of our brands working to ultimately provide differentiated features in the apps that are differentiated offers in the app that lead customers to come back to us directly. Obviously just having great product across the board whether it's in the app or elsewhere as part of the strategy as well we've got great rewards programs both at hotels.com, stay 10 nights get one free and then the Expedia rewards program again another reason for people to come back to us ultimately directly. And then, in terms of channels again we have been ultimately optimizing our marketing spend in some of these performance channels over the course of the last year and a half or so and ultimately putting more money into more of the branded channels. We mentioned some of the things we've been doing around influencers which is not huge yet, but that's part of it but also just television and digital advertising where we can really feature more prominently the brand and build the brand and really scream what's different about the brand has been part of the formula as well.
Deepak Mathivanan: Got it, thanks Mark.
Mark Okerstrom: Yes, you're welcome.
Operator: Our next question comes from Jed Kelly with Oppenheimer. Please go ahead.
Jed Kelly: Great and thanks for taking my questions. Just with the success you're having rolling out core OTA outside the U.S., do you ever think about unifying your vacation rentals more through the Expedia brand than the hotels.com brand? And then, on your comments on ADR do you think that's more macro driven or are we finally seeing some of the alternative accommodation providers have more of an impact?
Mark Okerstrom: Thanks Jed. Listen in terms of unifying the VR through [Indiscernible] we're taking a bit of a hybrid strategy. So one of the things that we have done as part of our recent organizational realignment is brought the partner facing or host facing teams closer together between the main OTA team and the Vrbo team with a view at a minimum having a more consistent go-to-market strategy and more alignment so that as it relates to our partners they really don't have multiple places to go to. They've got one. I think that's part of the equation. The other side of it is as we get more of the inventory from Vrbo onto brand Expedia and hotels.com over time it will provide us with the opportunity to drive more incremental volume to new properties internationally as we sign them up. Our plan is to still rollout the Vrbo brand and we'll be thoughtful about how we do that, how quickly we do it, how much money we put against it but really the end state here is that we do end up having at least in a number of markets pretty broad portfolio of brands where we've got the multi product brand and brand Expedia that has alternative accommodation. You've got some of our single lodging providers like hotels.com also providing them of course you've got Vrbo which is dedicated to it as well. But again, part of the goal is to harmonize on the partner side and then distribute where we can through as many brands as we can.
Alan Pickerill: And then Jed, this is Alan. On your ADR question, I would say that the big factor there is going to be the macro trends and you can kind of see that throughout the industry. I would say our exact ADR trends do not match exactly with the industry and I do think that's because of mix. You referenced if there's an impact from vacation rental, I think to the extent that we're integrating Vrbo's vacation rentals and our core lodging team is adding alternative accommodations as well around the edges that could have a little bit of an impact, but I don't think it would be meaningful at this point. The other factor is, there is some geo mix in there so certain countries where we're strong versus other countries where we're weaker do have different ADR just different overall ADRs ours and so that plays into it as well but really the big story here is that the macro slowing.
Jed Kelly: Thank you.
Operator: Our next question comes from Naved Khan with SunTrust. Please go ahead.
Naved Khan: Yes, thanks a lot. It's Naved Khan from SunTrust. Maybe the clarification on the ADR, how much of the on the decline when I guess it's macro related, but how much of that is really travelers sort of trading down meaning booking lower price point hotels versus lowering in price point by the hotels across the board? And then, you talked about sort of the SEO changes impacting maybe more of the non-lodging kind of products versus lodging. Is that a fair characterization and how should we think about that impact across different geos?
Mark Okerstrom: So Naved, on the first one it's really hard to say how much is travelers booking lower price point hotels versus the broader slowing that we're seeing. I would say that the slowing that we saw is not dramatically different from what we're seeing across the overall industry. So Alan called out rightly that there may be some mix impact in our channel. It's hard to call it specifically that it's consumer behavior or a trade down at this point. In terms of the SEO impact, I think the impact is pretty broad. It's just that when you have a lodging only provider, the only see it in one channel versus if you got multi-lines of business like the air activities, car etcetera. You can feel it in other lines of business. And in some cases those other lines of business can drive lodging business is well in terms of attach. So, it can have a bit of a larger impact on the overall business even though as between lodging and the other products in total, it's not that big of a difference.
Naved Khan: Got it, thank you.
Mark Okerstrom: You're welcome.
Operator: Our next question comes from Justin Patterson with Raymond James. Please go ahead.
Justin Patterson: Great, thank you very much. Can you talk about how OTA sensitivity differs today versus the last lodging cycle? It does seem like there is some more incremental headwinds this time through and it doesn't seem like some of the counters technical elements of OTAs are kicking in. And then, secondly on in the organizational realignments. Could you highlight how this realignment is a different function of the past ones and how we should think about the timelines toward seeing operational efficiencies? Thanks.
Mark Okerstrom: Thanks, Justin. Listen, I think OTA is in a cycle in terms of will be in that what we saw during the last slowdown. I think we continue to be in a good spot. I think we are much larger than we have been historically. And therefore our importance as a channel is more significant. What we've seen in past cycles is that corporate and meetings business starts to essentially get shrunk essentially as corporate start tightening the belt. And that ends up creating more of a spot market in our channel where our partners are able to discount and in many cases discount in more opaquely as either through our hotwire product or through our packages product so that ultimately they can offer incredible deals to our customers in a way that doesn't undermine the overall pricing structure. I think that continues to be a big opportunity for us. I don’t think they were necessarily at that point in the cycle yet. You continue to see occupancy rates continue to be pretty healthy for us and healthy for the overall industry. So, I think if we were going to see as it's a bit earlier. I would also say that in terms of our position unit downturn, we have introduced a bunch of new products that help our pretty in our lodging partners target customers more effectively in a way that goes beyond just traditional discounting or travel ads product for example. Is a product that is more of a sponsored liftings product which allows our lodging partners to get demand in a really targeted way when they need it? And that's just significantly more sophisticated today than it was in the prior year. So, I think it represents an opportunity. In terms of the organizational alignment, listen we have not done a ton of organizational realignment over the years but this one is significant in that. It does bring a number of teams together in a way that does really align well with our overall strategy. Bringing the partner facing teams together. For example, I talked about the way that we'll have a much more unified go-to market approach between Vrbo and our lodging team. That and our traditional lodging team and I think that's going to bear benefits over time. It really allows us to unleash a lot of the benefits that we can deliver across the whole platform to our partners. Like we have with Marriott, like we have with United Airlines for example, bringing together more of our tech and data teams are aligning them more closely, really allows them to be more effective and collaborating with one and another and finding opportunities where they can leverage these other technology, leveraging others code and redeploy resources against things that are more differentiated in terms of what our customers and partners might see. And then we brought across some of the functions in our customer facing team to be more effective in terms of international expansion to find more opportunities to collaborate with one and other in ways like we have done between Vrbo and brand Expedia for example. Where on Vrbo, you're able to book hotels and cars on brand Expedia you're able to log in with your brand Expedia login credentials. So, these are all changes that are aimed at unlocking new opportunities that are aligned squarely with our strategy. In terms of how long it's going to take to scale these things. Listen, it is going to take some time to realize the full benefit of what we're able to do here but we're confident that is going to make us much more effective and efficient as we realize those benefits over time.
Justin Patterson: Great, thank you.
Operator: Our next question comes from Heath Terry with Goldman Sachs. Please go ahead.
Unidentified Analyst: This is Daniel Powell on for Heath. Just a couple of quick ones from us. First, we'd love to get from an update about where you feel you are on international supply expansion. Should we continue to expect to see pretty elevated growths in those supply ads or do you feel like they're getting to a point where you have pretty competitive coverage across major markets. And then secondly, just curious if you could give us an update on what you're seeing on the reward side both from your perspective and what you run through Hotels.com but also on the hotel side of things or the branded side of things and injecting rewards rate onto your platform. Thanks.
Mark Okerstrom: Sure. So, in terms of international supply expansion, we're pleased with what we see, we continue to add properties at a healthy rate on to the core platform. These include traditional conventional lodging and also include alternative accommodations. I think we're again pleased with the progress we're making in the priority markets on that front and pleased with the lot of the work we're doing to actually enhance our product to make it more locally relevant as you've seen with our international room night growth adjusting for Easter, it's broadly consistent with what we saw the last quarter. And I think it's a testament to some of the benefits that we're seeing. That said, we have seen mixed results in some of these markets depending on what's happening in various marketing channels. And as we add new properties, we have to be mindful of making sure that we balance in both supply and demand. So, I think the good news is we've got the capability to add more properties, we continue to add to our assortment which is fantastic. And I think as we continue to expand international, we're going to blend those efforts with putting resources against other efforts that ultimately might move the needle more effectively to help us be more locally relevant. In terms of the rewards programs. Again, we remain very happy with the Hotels.com rewards program, results in higher customer loyalty, nice repeat rates that we see in that business. We do think that it is overall accretive to the P&L and we're happy to have that program and is a very strong program. In terms of putting loyalty rates, other partner's loyalty rates on our platform. We've had good success with a lot of the partners that we have rolled out within, again we're eager to continue to work in that way and other ways with our hotel partners as we move forward.
Operator: And our next question comes from Brian Nowak with Morgan Stanley. Please go ahead.
Brian Nowak: Thanks for taking my question; I have two. Just to go back to the SEO issues. I guess, I think you guys last updated guidance on July 25th. Can you just sort of let us know around what period you saw the SEO issues start just so we can sort of think about the sizing of our partial quarter impact on your ad spend for bookings. So what do you think about full quarter impact in 4Q and to 2020. And then, on the comment about higher cost marketing channels, you just help us understand what are the largest one or two marketing channels you're moving dollars toward and then sort of bigger picture, what marketing channel are you sort of most optimistic about longer term that can maybe help you diversify overall paid bookings mix away from Google.
Alan Pickerill: Yes Brian, this is Alan. Just in terms of kind of how the factors that we talked about on the call developed. We were you referenced our last earnings call, we were just finishing up the first half of the year. That was a pretty terrific start to the year. We were ahead of our expectations at that moment. And felt like the things that we saw in the business in the first half would carry out into the second half. As we moved through third quarter, we could start to see the impact from these SEO challenges and we also started to see the trends in ADRs working against us. And with particular strength as we got to the very tail-end to the quarter. So, that's how I would think about it in terms of the challenges and the timing. As I said, we do expect them to continue to be a headwind for us in Q4 and into 2020. On the just the last part of that SEO question in terms of where is the traffic going. I mean, I don’t have a specific answer for you other than to say if you're just thinking about the Google platform to the extent that SEO is pushed lower on the page and people who normally maybe would have transacted through those links are moving to paid links. You're looking at SEM and Google hotel ads. And as Mark said, it's good we see good returns on those volumes except for the fact that volumes through SEO are essentially free to us. And so, going from free to anything especially the other Google paid placements can create a sizeable headwind for us. And then Brian, in terms of other channels, I mean we're actively spending more in digital video, we're spending more in traditional television. I mentioned experimenting with some of the influence or type things on Instagram and other social channels. As I think you know we've got a sponsorship for Champions League in Europe which we've been pretty happy with so far. So, the goal here is to help start basically accelerating our direct business and we were happy with the growth in our direct channels in the quarter. And overall, our strategy is to continue to actually differentiate the product and build more direct business over time. So, I think you'll see us continue to find new channels that are more branded in nature to help build our direct business.
Brian Nowak: Alright, thanks guys.
Alan Pickerill: You're welcome.
Operator: Our next question comes from Brian Fitzgerald with Wells Fargo. Please go ahead.
Brian Fitzgerald: Thanks. A couple of quick ones. You mentioned the lodging stack would recover by the end of the year. Does how does that match up with the original plans. You see accelerating trends as you apply best practices or a get scaled or optimized tools. And then, related does your stack switch make for a lighter shift. So, that's first question. Second one is just simply around, Mark you mentioned removing friction with the unified sign on at point of sales across Expedia and Vrbo. Is that predicated on just to do the move off of the Vrbo, third payment provider? And then we'd imagine you get incremental or better a fresher data and as you unify those two. And do you see that levered into better first party data, means better targeting amongst the whole platform, so tailwinds in targeting. Thanks.
Mark Okerstrom: Thanks, Brian. I'd say broadly the cloud migration is moving along nicely. It's always impossible to estimate exactly when you're going to get it done. So, we're pleased with the progress and I think where we thought we'd be at the end of the year versus where we are. I think we're broadly in line with where we want it to be. In terms or the air stack, I think the teams done a lot of great work to actually get ourselves cloud-ready. They're obviously that the lodging business for us is one of the biggest lists. And so, the air business and the teams done a great job. And I think that's something that we'll be moving in towards the end of this year and into the following year as well. In terms of removing friction, really what we are talking about is enabling Vrbo users to login using their Expedia credentials. From that point on, yes we're able to collect more information on them and tag more of their intent towards a particular user profile. And we are interested in making sure that we can deliver the most tailored and relevant experiences to our customers. I think that type of thing represents an opportunity for us to do that better. It is not related to the payment side of things. So, it's completely deferred.
Brian Fitzgerald: Thanks.
Mark Okerstrom: Okay, you're welcome.
Operator: And our next question comes from Steven Jew with Credit Suisse. Please go ahead.
Steven Jew: So, thank you. So Mark, anything you can share about the consumer awareness as well as the willingness to transact in the 650,000 Vrbo properties you've now integrated. And is that improving quarter-on-quarter year-over-year or are you seeing any sort of conversion rate headwinds. Because it seems like conceptually if you present people with more choice that should respond positively. And also trying to think about when some of the SEO headwinds for Vrbo should and could and because our recollection from when it was a publicly treated company, was that Google will de-rate one property versus another if they see the same inventory on both. So, now where are you in terms of integrating what properties that can be integrated from Vrbo to brand Expedia? Thanks.
Mark Okerstrom: Yes Steven, so on the basically the performance of the Vrbo properties on the Core OTA side of things. It's still relatively small, it's growing very quickly and the teams have continued to test and when the right thing, the right time to present the properties. I think as a reminder, each of these properties essentially represents one unit as opposed to a traditional until then maybe call it 50 different units. So, the total volume potential of these is just smaller than a traditional property, but certainly when you present these to the right customer at the right time, they definitely improve conversion. You just got to be smart about when you present them and do it in a very targeted way because customers also definitely want to have some curetted results that are relevant just to them. In terms of SEO headwinds for Vrbo, listen I think the key is here is that we are really putting our weight behind the Vrbo brand and as a result of that it's done a bunch of platform consolidation work. Really we saw the step up in the headwinds from SEO really start at the beginning of this year and I think we're into the end of 2020 before we see those types of things lapping, but I think SEO is a headwind for everyone. In the internet I think you saw us call it out and that's why Vrbo has been pretty focused on defining a real differentiated value proposition, being smart about their brand spend and exploring more digital video type advertising against the Vrbo brand itself which is growing double digits. We like the progress we're seeing there.
Unidentified Analyst: Thank you.
Mark Okerstrom: You're welcome. 
Operator: Our next question comes from Ron Josey with JMP Securities. Please go ahead.
Unidentified Analyst: Hi this is Andrew Boone on for Ron. I'd like to go first to your supply strategy just with 1.4 million properties that are now on the platform. Can you talk about your strategy with priority markets? Are there more priority markets today versus a year, a year and a half ago? Are you going deeper or you guys adding more priority markets? And then secondly, Google rolled out BERT a few weeks ago just with all the talk on SEO, if you guys had any impact there? Thank you.
Mark Okerstrom: Sure. So in terms of priority markets we did expand the number of priority markets from the first wave that we did. And we are essentially going not completely broad. We have expanded the numbers, but we are trying to go deep and sure that ultimately we have a broad selection not only in the primary markets but the secondary and tertiary markets which is important to make sure that you can develop locally relevant product that ultimately customers will go back to again and again and again. So with respect to BERT listen I think Google continues to experiment with new products. I think where we see that the biggest impact is when those products ultimately take away real estate from what was traditionally free channel. So I think it's too early to call an impact on that particular product. But generally, the trend is that Google does continue to push for more revenue per visitor and I think it's just the reality of where the world is in the internet and the importance of Google at the top of the funnel.
Unidentified Analyst: Thank you.
Operator: Our next question comes from Brent Thill with Jefferies. Please go ahead.
Brent Thill: Mark on Europe, I’m just curious how that fared relative to your plan and your outlook Alan for Q4 directionally how you are thinking about the region? Thank you. 
Alan Pickerill: Yes. I think Europe saw similar type of ADR softening that we saw across the U.S. and some of the regions. I think so that was a factor for us. We were broadly happy with our volumes in Europe. Again, we've been in a number of those markets with our champions league sponsorship and some of the supply acquisition efforts that we've been pushing I think maybe a little bit isolated from some of the things that may have been happening there, but it was mixed. I mean we saw weaker in the UK again I think on Brexit concerns and country by country there were mixed results either because of things that we were doing and performance marketing channels or whether it was because of macro environment it was hard for us to tell. But broadly speaking we were comfortable with the way that Europe played out.
Operator: Our next question comes from Doug Anmuth with JPMorgan. Please go ahead.
Doug Anmuth: Thanks for taking the questions. I have two, first if you could talk about competition in the dynamic there in APAC in particular just with some of the local players they're really getting more aggressive from a global perspective? And then second, on holistic travel it feels like the market and other players are kind of just shifting more in your direction. Can you just talk about what you're able to do there just to continue to differentiate the products and platforms? Thanks.
Mark Okerstrom: Yes. Listen the competition in Asia continues to be fierce. You've got a number of regional players that continue to do really significant discounting and a couple of PAN regional and global players that are doing the same. In many cases leveraging rates that maybe shouldn't be online and actually putting them online. So it does continue to be a pretty fierce environment for us and I think everyone in the region. We are having success in a number of markets in Asia, but in other markets it does end up being a little bit more challenging. We do have however with our Expedia Partner Solutions business the ability to tap into that market and we are powering a number of players in the Asia-Pacific region with our inventory both in APAC and then around the world as well. So we are able to benefit from what's happening there, but for our consumer brands it does continue to be a pretty competitive environment for us. I'm sorry on holistic travel, listen we continue to innovate on finding ways where we can leverage our flights and car rental and hotel advantage not only in terms of just actually being able to offer discounts, but also ultimately being able to in the future provide just more information on flight delays, etcetera even for hotel bookers. So the team's got a bunch of plans to actually build more in the way of the connected trips experience beyond what is our traditional core competitive advantage which is being able to bundle things together, have your itinerary all in one place and do so in a way that ultimately can deliver great savings for our customers.
Doug Anmuth: Great, thanks Mark.
Mark Okerstrom: You are welcome.
Operator: Thank you. Our next question comes from Tom White with D.A. Davidson. Please go ahead.
Tom White: Great, thanks for taking my question. Just to clarify a question on the mix shift to higher cost marketing channels. Was that more just sort of a passive event Alan that you mentioned resulting from the search platforms kind of prioritizing their own vertical search experiences and that impacting your mix or was it also, was there any sort of proactive steps that you guys were taking to maybe lean into CPC bids or specific higher priced channels to kind of try and preserve unit growth in the face of some of the pressures you talked about? And then just secondly, on the free cash flow conversion comment Alan, I'm just hoping you maybe you could provide a little bit more color there, any thoughts on magnitude or potential timetable that you can share?
Alan Pickerill: Yes Tom. So, on the first question I would say more of the former than the latter. I mean it's if you think about what we described here, it's principally Google pushing SEO down the page and there's just a natural outcome of that. Obviously, the team is very dynamic and is constantly looking at opportunities and trying to do a good job of balancing room night growth with our overall profitability. So there are elements of that but for the most part I think it's more just the natural shift as SEO gets tougher to come by. On the free cash flow bit, I think we've been clear that we do expect over the long term to continue to deliver healthy and solid adjusted EBITDA which is where it all starts. The next main factor here is that we will be moving through and completing our Seattle facility and so that will provide a tailwind on our free cash flow. We expect to continue to see a good tailwind on our working capital flows as our merchant business continues to grow. So all of that together, we think adds up to a situation where we can drive healthy free cash flow and good cash flow conversion going forward.
Thomas White: Thanks.
Alan Pickerill: You bet.
Operator: This will conclude our Q&A session for today's call. I will now turn it over to Mark Okerstrom for closing remarks.
Mark Okerstrom: Well thank you all for listening today and a huge thanks to...